Dominic Grossman: Ladies and gentlemen, dear guests, ladies and gentlemen, welcome to the analysts and investors conference of United Internet for the half year figures 2025. My name is Dominic Grossman. I'm very happy to be able to welcome you here personally at Zofiechallen in Frankfurt. I also like to welcome everybody who is participating online. And allow me to take you through the agenda today. We will start with Ralf Dommermuth presenting the development of the first half of the year, giving a forecast on the second half of the year. And following that, Carsten Theurer is going to explain the figures in detail. You will, after our presentation, have opportunity to place your questions in our Q&A session. That's it from my behalf, and I pass on the stage to Mr. Dommermuth. Thank you.
Ralph Dommermuth: Thank you, Mr. Grossman. Welcome, ladies and gentlemen. As announced, I will present the development of the company in the first half of the year and a forecast on the rest of the year and then my colleague, Mr. Theurer, will give you the details on the figures of the first half of the year. You know our business. We work in a team with about 10,800 employees, 4,000 of them in product management, development and data centers. We run a powerful Internet structure with fiber optic networks, a mobile network, and computer centers with over 100,000 service worldwide. We have the access business and applications. And these again split up in offers for consumers and business customers. Our products are offered in a number of brands in the consumer business, the main brand is 1&1, and we have discount brands from the merger in 2017. In the business access, we are active in -- with 1&1 Versatel application for consumers are GMX, WEB.DE, mainly and Internet media application for business customers are provided by IONOS with different subsidiaries like -- and acquired like Opel and STRATO in Poland, Austria, England, and so on and a number of minority partners. Let me start with the consumer access in the first half of 2025, you know our business. Our consumer access business is organized in 1&1. They are stock listed 3.89 million broadband customers and 2.44 million customers contracts. We are operating the first Open RAN business, and we are migrating the existing customers from the wholesale contracts to this Open RAN. At the end of the year, we had 16.33 million customer attract mobile broadband hasn't changed and the broadband has reduced by 60,000. Our service revenue could increase slightly to EUR 1.647 billion. The general development, minus EUR 13.1 million to EUR 130.6 million. Included in this is the buildup of the mobile network. 1&1 reports 2 segments, 1 segment of Access, minus 3.5% due to the change of the roaming partner with higher roaming costs as expected before and then the mobile network with EUR 130.6 billion coming from EUR 111 million. Business Access, 1&1 Versatel operates one of the largest German fiber optic networks. We operate the access network, transport networks on 67,000 kilometers. We are available in over 350 cities in Germany, including the 25 largest and over 28,000 buildings are directly connected. We have increased EUR 287.3 million. This is the accumulated figures. Our own optic fiber is growing much more. We have a decline in the voice business where earlier customers paid per minute for voice, and they don't accept this anymore. This is why we are losing nonrecurring revenue, but the recurring revenue is growing. That is the lines, for example. So we'll see this development over a couple of years still. The EBITDA has start-up costs. Without the start-up costs, the EBITDA would have been at EUR 92 million. The margin is a bit higher than last year with 28%. Looking at the applications, I have said so, the consumer area is GMX, WEB.DE, Mail.com, online office, cloud service, cloud storage. And our differentiation here is German data protection and data security, we had 41.75 million active consumer accounts at the end of the year, and that is free accounts, which are funded by advertising, EUR 38.7 million, minus EUR 360,000. And we have 3.8 million pay accounts, which are much better for us than the advertising accounts. There's some seasonal figures. That's why we have a difference here towards -- between the end of the year and the middle of the year. This is a bit misleading, but if we look at the year-to-date, we see a plus of EUR 90,000 coming from EUR 41.66 million. We see this in revenue as well, a plus of 3.1% to EUR 148 million. And the result is not brilliant. We expect that to rise with the revenue as well, but we expect a change. We have a high business region, EUR 36.2 million EBITDA, and we don't need many service to have that business running. Business applications, IONOS, they published figures today as well as the leading digitization market for small and medium-sized companies. They're cloud enabler active in Europe and in the U.S., broad product portfolio ranging from digital solutions, websites, e- shops, marketing tools, right to virtual servers, dedicated servers, cloud infrastructure as a service, all of these are the active figures. A very good growth in the first half of the year, 210,000 new contracts, EUR 9.8 million as a total, also from abroad, but our main market in Germany, 80,000-plus contracts, reaching 4.71 million. The revenue have grown strongly, 19% to nearly EUR 900 million. That is due to customer growth and better up and cross-selling of additional products and a strong growth in the AdTech segment. The total EBITDA, even better growth, EUR 24.6 million plus to EUR 258 million in the first half, the margin now at 28.9%. So a very strong margin business here. The figures again in the overview, a total of 290,000 new customer contracts and pay services reaching EUR 29.31 million contracts, a plus of EUR 4.3 million in revenues, EBIT plus EBITDA plus 2%. EBIT is dropping due to investments and the antennas, the computer centers and so on, which are being added and activated. So a drop here and a result of minus 3.3%. So included in this, as I've said, is the EUR 130 million ramp-up costs, as I've said, and if you take this EUR 18.4% on the EBIT, you will get a growth of, I'd say, around 5%, a little bit less. What is the forecast? How are we going to carry on? We confirm our forecast. We are expecting the forecast to fulfill EUR 6.45 billion. The EBITDA is about EUR 1.35 billion. We've just explained this EUR 20 million less EBITDA due to the change of the national roaming partner from to Vodafone. We had deactivated components before that increased the EBITDA. Vodafone doesn't do this and EBIT, there's no impact. However, -- so if we add this difference to the EUR 1.35, we would end up at EUR 1.7 billion, which would be 5.5% of growth, something in that range, which is quite reasonable. CapEx will end up at about EUR 800 million this year, a bit higher than last year. We are still investing into the optical fiber network, in the mobile network, and also in the cloud infrastructure. So thank you for your attention so far. And I would like to ask Mr. THEURER to present the figures.
Carsten Theurer: Welcome again from -- by me. I'll have the honor of taking you through the figures in detail. giving you a summary from the overall view and into the balance sheet. First of all, why do we have different figures here? Mr. Dommermuth mentioned it. We have the comparison like-for-like, i.e., the key figures as of 30th of June 2025 compared to 30th of June 2024. And you can see that the fee- based customer contracts actually grew by more than EUR 0.5 million in this period of time. If we take a look at the A finance free accounts, we have a decrease with 180,000. But at the same time, we were able to get paying customers, which are in the first figure I indicated. So we have actually plus 270,000 customers. revenue growth, 4.3%. As I mentioned, EBITDA, as we can see here again with 2% despite the EUR 19.6 million higher costs for the rollout of the 1&1 mobile network. The EBIT, a larger impact of the effect we've mentioned already shown in the EBIT, but not in the EBITDA. In the EBIT, we see the EUR 39 million higher depreciation in connection with the network expansion, EUR 12 million for Versatel. -- so that we have an overall decrease of EUR 8.5 million the EBIT. Let's speak about the cash flow. In the first half of the year, we have an increase from EUR 557.9 million to EUR 578.9 million cash flow from operating activities, we see strong growth here. Why? Well, last year, the contingent payment -- the last contingent payment of EUR 260 million was paid to Deutsche Telekom for the last time, and we benefit from this now. So we don't have this payment anymore, and that has this positive effect here, the increase of operating activities. In investments, we can see the impact of the CapEx, which is more or less at last year's level, EUR 13 million higher than last year. And for financing, we have 2 effects, EUR 15.4 million positive last year, and we're minus EUR 211,000 this year, there's 2 effects. There's dividend payments of EUR 426 million that have an impact, but also the catch-up dividend for last year, just under EUR 240 million. We have an effect of the 1&1 shares that's EUR 160 million that we bought in April, and we have a repurchasing program of EUR 36 million that is reflected here. So we have this overall change of EUR 426.3 million. It's not quite true. It's EUR 326 million. Sorry, the figure is wrong here. Let's speak about the EBITDA bridge, the cash flow, starting with EBITDA, EUR 675.6 million. Then we can see the CapEx, which is a little bit different from what we saw before because there's EUR 2 million investment removal, then a phasing effect, payments made in the first quarter that actually were for quarter '24, but that led to a decrease of money then the tax, EUR 51.2 million, then working capital and others, reduction of our payments due to our liabilities, then free cash flow arrives at EUR 105.8 million and then EUR 80.7 million worth of leasing costs. So the free cash flow after leasing for the first half of the year 2025, EUR 25.1 million. Look at the balance sheet, what can we see? Let's start at the bottom line. We have a slight decrease of the balance sheet total from EUR 11.935 million down to EUR 11.863 million, where is it coming not from assets from property assets, that's pretty much the same. Goodwill financial assets are pretty much at the same level. Accounts receivable is a little bit higher. Contract assets are a bit lower with the decrease of contract assets due to lower customer growth and lower hardware sales. The inventories are at the same level, slight increase due to rental and pre-service provider payments and then the income tax claims a little bit lower than as per the end of the year, same goes for cash and cash equivalents. So that leads to a slight decrease in the balance sheet. Now let's look at the liabilities. We have a little bit more movement in equity here, and I'll tell you a little bit more about why. Maybe we'll speak about this effect. First of all, we had the purchase offer for 1&1 shares. This goes beyond the 30th of June. So this total of the increased offer needs to be reflected here, even though only EUR 140.1 million were spent on shares. So we have a deviation here, which is, however, required by us by IFRS. I find it a bit strange because it also has a serious impact on the equity ratio, which is 4.6% lower at 41.9%. The right figure would be -- if we only accounted for the EUR 140 million, then we'd be at 3.3 percentage points and 43.3% equity ratio. What else do we have? We have the acquisition of the 1&1 shares with the EUR 60.8 million and the dividend payment accordingly of EUR 328.4 million. Liabilities have increased and we can see our CapEx measures, acquisition of 1&1 shares, but also the dividend, then trade accounts payable. We've seen it already the decrease of liabilities to EUR 603 million and with contract liabilities were nearly at the same level. And then, of course, the EUR 300 million that we have to reflect here from the offer to increase our number of shares. So this takes us through the figures. And now we have the possibility of taking your questions. So please get ready.
Dominic Grossman: Well, thank you very much so much on our presentation. We'll start with a question-and-answer session now. Please use the headsets the microphones that our colleagues make available for you. And please start by indicating your name and company will start on the left-hand side.
Ben Rickett: It's Ben from New Street Research. I had 2 questions, please. The first question was on the DT contingent payments. You mentioned that you made the last payment last year and that you're now seeing a benefit from that. So should we now expect -- are you now receiving working capital inflows from that asset? And can you comment on the scale and the timing of the inflows you expect to see from that prepayment asset? And then second question on the Consumer Applications business. You're seeing declining free subscriber numbers, but you're growing the number of premium subscribers. I just wondered if you could talk a bit about the relative value of those subscribers. So for example, what is a typical ARPU for a free subscriber -- and what is the typical ARPU for a premium subscriber?
Ralph Dommermuth: Yes. Let me start with the consumer contracts. The typical ARPU of a free subscriber is about EUR 0.25 a bit more, let's say, EUR 25 to EUR 30 and the paid customers is about EUR 3 3 about. So that means the paid customer is 10x as valuable as the free customers. And this is why we try to convert the customers wherever we can. If we look at the business, the turnover composes of advertising fees and the fees of the paid customers, and we do more with them, and this is the goal to carry on with this. The contingent payments, I can answer that. The time was 10 years. The first 4 years were the high upfront payments ranging about EUR 260 million per year, which were decured and are being used over the years now. So a clear cash flow effect, which is probably not going to reflect in the results because we have accrued it. So we have taken it over the years and the cash effect that we have taken up in the first 4 years by the payments. Maybe I can add a note for everybody who's not so involved with this. And telecom, you can select when you get the -- want to use the optical fiber for the last mile, then you can select whether you want to pay upfront in the contingent model that will go over 4 years, and that will give you a better price or whether you will not have the upfront payment and pay a higher price every year. And now as in Alliance, we fund and have a good funding. It was a good opportunity to do this upfront payment. So that means we paid about EUR 1 billion over the 4 years, and now we have the benefit that we don't have to pay them for the next 6 years. And that won't help us in the result, but it will help us in the cash.
Dominic Grossman: Another question on the right-hand side.
Unidentified Analyst: I have a couple of questions, please. Firstly, in terms of your longer-term strategy for the group in terms of maybe the consumer applications business, for example, do you still see it as a core part of the group? Would you consider monetizing it? And then the same question for IONOS. How do you think about your stake in the business? Would you consider increasing it? What are your thoughts on maybe disposing of parts of it to fund build? Just wondering how you're thinking about the structure of the group and your strategy into the midterm.
Ralph Dommermuth: We do assume that the business as we have it will stay with us in the long run. We don't plan to sell any of the business or sell shares of IONOS or 1&1. We think we have a good portfolio. It's balanced. And I understand that a shareholder doesn't want a conglomerate saying I could set up my own portfolio. However, if you are a medium-sized company, you will get more business models quite attractive because some things may not work out in the market as others as well as others. So we can compensate that. So I think we have a good and stable portfolio basing on a number of business models. Of course, that means the growth would be a bit smaller. If we had IONOS only, we would grow faster now. But I can recall years where we didn't have any growth at IONOS. So I think it's good that we have the different business models and that they do compensate each other, and we have no plans to change this.
Dominic Grossman: Okay. I don't see any more questions maybe here on the back side, [indiscernible].
Unidentified Analyst: Yes, [indiscernible] question has just been answered. And the other perspectives, we got some news as far as AI is concerned. We had this last year, Gigafactory -- how do you assess this in the term of 2, 3, 4, 5 years? What may be the perspective there? That will be the first part concerning IONOS.
Ralph Dommermuth: Well, I'm not on the Board there. I'm in the Supervisory Board. So I can't talk for the company. I can only give the main shareholders' view. We are satisfied with the development IONOS has taken. We took them over in '89 with 38 staff members and EUR 25 million marks -- German marks turnover, which wasn't occurred. So the prepayments weren't occurred. And that has developed greatly for us. We see many opportunities for the future as well. Where do they arise from? First of all, from the AI issue. But because we do think that we think we have a good access to our customers and the investments in home pages and websites can be sold to small businesses and assistance, agent functions that will facilitate business. That's where we see business fields in the next years, but we'll have to get into that. We see opportunities and platform consolidation. I've shown that we have different companies founded by ourselves in different countries, Spain, U.S., and so on and where we had opportunities, we bought the competitions. And so these platforms have been integrated to a certain extent, but not completely yet. So we want to tap into synergy effects here, which as we did in the past years as well, accompanying our business development, increasing productivities. That's going to be a driver for the IONOS profit as well. And in addition to the business today with the websites and so on is growing about 8% per year. So growth in the core business, consolidating platforms and opportunities here by new products and artificial intelligence. These are growth opportunities for IONOS. And then we have a cloud business. We have our own cloud infrastructure developed over many years. It's completely sovereign. No in there, no Huawei as in telecom or open-source stack self-built. So we do see that we can sell this well to public administrations and some big federal authorities are using it. So we have to see on how far companies are willing to take this up to have an independent cloud. I think that discussion has just started. What is an independent cloud? Is it a cloud which I buy from Amazon or Google or Microsoft? Or will it be independent if they have a subsidiary in Germany or in Switzerland? And is that independent enough? Or is independent only if it was done by a European company who developed it and understands it themselves and can change it. So that discussion is ongoing. And of course, we do hope that there's going to be an increasing awareness and our positioning can be strengthened in the market here, and we can grow on that base. So that's the big fields that IONOS sees opportunities in, and that means we should stay invested. And what we also have to see is we have a good development of the shares. If you look at the normal development? Well, let me explain. Over all the years that we bought smaller hosting companies in Europe, we had 13 to 14 EBITDA. And if we look at the IONOS listing today, you see although it was listed so well, it just got there. So the European market leadership, i.e. ideas, cloud ideas, the small hosters didn't have that. That's not depicted in the share. So this is why I'm positive. We have to do the business, of course, but I'm optimistic that we will be able to show that this has more to gain that we can carry on and the market understands the business opportunities involved. And this is why I think we will stick to our position as we have it.
Unidentified Analyst: And if IONOS needs more capital for AI factory, will that be possible without having to increase your capital?
Carsten Theurer: No problem. We're only talking of EUR 3 billion to EUR 5 billion there. Let me break it down. What you could read in the press was gigabit factory costs EUR 3 billion to EUR 5 billion. Yes, that may be true, but you don't build it in a day. You build it in individual stages and you fill it in stages. As you increase your business, it doesn't make sense to set up a huge number of computers and just keep them there if you don't use them. So growth accompanies business. How will we finance this? You need some equity, of course, I'll get back to that. But the envelope of the data center, the passive infrastructure, you can do that with credit. You don't need to do -- to use your own money for it. And software we develop ourselves. The hardware has to be bought that costs some money. We buy it gradually, but we can also use the subsidies made available by the EU now that will cover something of like 35% of the cost. That means that we have less financing need. We do it together with a partner that decreases the financing needs. And if you see that IONIS has a net debt of less than EUR 800 million now of EUR 530 million DDA, you can see that we really could take up a credit line of EUR 1 billion without any increase in equity. So if you take these assets together, creditworthiness, the partner, also the availability of passive infrastructure credits plus the subsidies available by the EU, then this should be possible. But as I said, it doesn't -- it isn't done overnight. It has to be built, filled by the buy by then the conditions will be better, more cash will have been generated. We don't want to take any dividend out of this. So we don't see any need for an equity increase as per today. Now if you take a look at the demand so that you can use capacity, what year are we talking about? When will that be? Difficult to say. It depends on how product development progresses. It depends on market demand. On the one hand, I'm very optimistic. On the other hand, I can also see that a lot of companies don't appreciate this issue of independence of sovereignty enough big companies. So we will take a Microsoft product at their subsidiaries located in Switzerland. And if we ask them like what if they don't make any update available anymore, how will you continue? Or there's no more update for this cloud anymore? Or if it gets more expensive, how would you handle this? Many haven't thought about that yet. Also, a lot of oil companies are locked into multiyear contracts. You booked so many capacities for the next 5 years or whatever, then you don't need additional capacities anymore. And it's very difficult to implement. This is always big major projects. So this won't happen overnight. It's very difficult to say that within 3 months, 6 months, 5 years. It also depends on our own performance. We have to be good. We have to make enough capacity available. We're only at the beginning here because we don't have the ecosystem that Amazon or Microsoft can make available. But there's an 80-20 principle here as well. 80% of workload will cover only 20% of the workload databases, backups, LLM models, ERP software. I think we have a lot to offer here, and we'll do more going forward so that our offering will become ever more competitive, but it's very difficult to predict. then the complex of 1&1 is listed IONOS is listed. What about 1&1 Versatel? Are we peaking here and this going down Hill beginning next year? So you are about EUR 600 million revenue, 30% EBITDA margin. You said this is going down. fiber optic will go up. So when will this move back into a growth phase? Absolutely, in absolute terms. I think you can see increasingly how the nonrecurring revenues are decreasing. So we have hit the bottom now that the nonrecurring is beginning to grow. We will see that over the next few years, investments, we will have to continue to make that's positive because we're increasing our footprint in commercial estate. That costs money. Every commercial estate, we connect cost money. We have a bigger footprint because we connect to the 1&1 network. That increases our return because the contract has to be made, but we have to make an investment upfront. With a growing business, these investments will earn ever more money. I have a feeling maybe a year ago or so versus how used to invest EUR 400 million, have an EBITDA of EUR 160 million, and the rest was paid by United Internet. And this year, we still have some subsidy, but it's less than it was. And next year, it will be -- it will break even. So we increasingly managed to generate cash through our own business that will be an improvement. So that has to be taken into consideration. A lot has to be invested by Versatel. We completely renovated the fiber optic network, overhauling the entire technology. We're very happy with the technology. Now we're able to win tests, best network compared to network Telef nica, Vodafone. We invested a lot of money there. We invest into expansion of the network, and we can increasingly see that money is rolling in now. And that is our view from the holdings point of view because 1&1 doesn't cost us any money because it has its own money. IONOS doesn't cost any cash because they generate it. And all our further businesses generate their own cash. The only company that is costing us money, if you wish, is 1&1 Versatel and that will end over the next couple of years. So we don't need to look at cash too much here. We're doing -- we're well underway.
Unidentified Analyst: Last question, United Internet Group, what will it look like in the free cash flow basis? That should turn around the beginning next year after this intensive phase of investments that you've had.
Ralph Dommermuth: Well, we have a multiyear plan, and I don't know the details of it now. It's indicating basically that our debt ratio will decrease. So we're peaking in terms of debt now. If we don't buy anything else, well, we took out another credit line because we bought 1&1 shares. But operatively speaking, our indebtedness will decrease by the buy, even though we're extending the mobile network, investing into the cloud. But that is still excluding the AI Gigafactory, of course, I have to say that we have to exclude that. Now if we exclude that, then our indebtedness keeps going down year-on-year despite the other ongoing investments.
Dominic Grossman: Next question from the left side, Karsten.
Karsten Oblinger: I have a question concerning Versatel. You indicated in your presentation that there's a lot of CapEx for the mobile network included there. Can you roughly indicate how we will -- when we will see that in the profit and loss statement? Will it be visible? Or will it be background noise basically?
Carsten Theurer: There's an upfront payment for any connections between 1&1 to Versatel. And then there's a long -- relatively long period where we have this background noise, recurring revenues that will generate -- keep generating cash. So the margin will be at the level of the same level as the company is right now? Yes, that's what we're planning, yes. Next question is by Simon Stipping, Warburg Research.
Simon Stippig: I have a couple of questions as well. You have 10% of your own shares on the balance sheet. I would like to know what you're planning to do with them because you could take a view that the holding is undervalued. In other words, you could be very satisfied because you could then buy IONOS very cheaply via the holding if you were to buy United Internet shares. So I'd like to know you can't buy back your own shares right now. What's your plan here? And then a number of short questions -- you just mentioned the leverage, your balance sheet capacity. You said that you have a maximum leverage or what's the maximum range you can imagine there. Then the refinancing ratio, what is it right now with you? And then finally, the dividend for the next year, could you imagine that it goes up a bit than the EUR 0.50 that you have been paying out, excluding this year?
Carsten Theurer: Well, we have about 10% own shares. We can buy more shares at any day. We have a resolution by the Board. We would have to withdraw shares, but that can be done by the Board. We used to have 252 million shares in United Internet, and we're now at 173 million shares floated. So EUR 60 million have been already withdrawn over the years. So we could do the same again. If we wanted to buy more shares, we could withdraw them and then buy more. But we feel very well with these own shares because we can use them to use them as a b currency or to make them as part of a payment for our employees, and they have no voting rights. But if we need to withdraw them because we need shares for tomorrow, we would have to first have them registered with the stock exchange, etc. So it's easier to withdraw our own shares. Now concerning the dividend policy, we have a policy of paying out somewhere between 25% and 40% of our profit. And what we've been paying out was not an obligatory dividend. It's just what we calculated. We had a catch-up effect now because we paid less over the last few years and in 1 year didn't pay anything at all. So we -- that takes us to an average of EUR 35%. And I think that is what we feel happy with. So the catch-up dividend was 50% and previously, it was 40%. So we -- that was at the upper limit of the 30% limit. Leverage now with the increase program, the purchasing program, we have 2.5 leverage now. The threshold for us would be 3%. If we calculate without leasing and frequency liabilities, if we calculate leverage, then it is -- the limit would be 3 for us. And as Mr. Dommermuth said, to reduce the leverage with an increase in cash flow over the next 3 years to actually pay it back. It all depends on what we spend the money for. If we buy shares in companies, then it may make sense. If we invest into fiber optic cables into transmission towers, and we have an asset in return. So we are quite optimistic in terms of the 2.5 because they're well underpinned. But in the long term, we would like to reduce it. We used to have a lower indebtedness and we'd like to return to that in terms of the conditions that we get, they are still very favorable for us. The margins are somewhere between 0.8 and I think 1.4. So it's still, in our view, a good access that we have to the financial markets. We can finance ourselves very well. The overall interest rates have decreased again. So we feel quite well in this context.
Dominic Grossman: Are there any other questions? For Karsten again.
Karsten Oblinger: But I asked the last time as well in the context of our economic environment, can you see anything where you do very well, but you also participated in this March meeting with about 60 entrepreneurs. Do you have any optimism for things improving in this country? Or what's your view?
Ralph Dommermuth: That's a good question. First of all, our business is more than resilient. We've seen all sorts of things, financial crisis, COVID, etc. We never had any problems because we're a provider. We provide e-mail accounts, websites, access -- Internet access to our customers. And before people let go with that, a lot has to happen. Now concerning the overall economic development, I can't say because on the one hand, I see some optimism because people say, okay, the government is well intended. They want to do something. I won't comment on whether it is sufficient or correct, but the trend is that they want to do something. We have the uncertainties, however, coming from tariffs, etc. So I don't know what comes out at the bottom line. A much bigger worry, whether we have 1% more or less is the question of digital sovereignty because AI will penetrate all walks of life, all areas of the economy, all products, and that determines -- if you determine what the prices are, who can get what services will have enormous power. And we have to say, and there's China and America today as we talk about AI. And we'll have to see whether Europe can catch up here or whether we fail to do so. And I think over the years, that will be the big game changer because it has ramifications everywhere. You can make the best product if you only have the third best AI, it won't work.
Dominic Grossman: I don't see any further questions here now at this stage. So we would like to thank you for your keen interest and the many questions. I hereby close the conference. I would like to warmly invite you to a cup of coffee, and thank you very much. Safe home and see you next time.